Operator: Operator: Good day, everyone, and welcome to the ViacomCBS First Quarter 2020 Earnings Conference Call. Today’s call is being recorded. At this time, I’d like to turn the call over to Executive Vice President of Investor Relations, Mr. Anthony DiClemente. Please go ahead, sir.
Anthony DiClemente: Good morning, everyone. Thank you for taking the time to join us for our first quarter 2020 earnings call. Joining me for today’s discussion are Bob Bakish, our President and CEO; and Chris Spade, our CFO. Please note that in addition to our earnings release, we have trending schedules containing supplemental information available on our website. Also on our website, we have a slide presentation for you to follow along with our remarks. I want to refer you to the second slide in the presentation and remind you that certain statements made on this call are forward-looking statements that involve risks and uncertainties. These risks and uncertainties are discussed in more detail in our filings with the SEC. Today’s remarks will focus on adjusted results. Reconciliations for non-GAAP financial information discussed on this call can be found on our earnings release or on our website. Now I will turn the call over to Bob.
Robert Bakish: Good morning. And thank you for joining us. Before we begin, I want to acknowledge the extraordinary time we’re in. Our thoughts are with all who are affected worldwide and especially those who have lost loved ones. To the heroes on the front line of first response in health care and to all the essential workers, we owe you a debt of thanks. I also want to thank ViacomCBS employees around the world for their adaptive creativity and continued focus on serving our audiences, commercial partners and shareholders amid these unprecedented times. Let me now dive into our first quarter earnings call. Today, there are three headlines. First, ViacomCBS delivered a solid quarter with clear operating momentum and sequential improvement on key financial metrics. Second, we’re proactively managing through the COVID-19 crisis, supporting our employees and communities, while strengthening our financial flexibility, reducing costs and ensuring business continuity. And third, we remain consistently focused on value creation and are acting swiftly to execute against cost and revenue opportunities that will create both immediate and lasting benefits. I’ll start with Q1 2020, our first full quarter as a combined company, one where we made significant progress unlocking the value of our must-watch content across multiple platforms globally and at scale. We integrated commercial teams to provide partners the strength of our combined asset base. We made progress capturing the run rate merger-related cost synergies we committed to, and we saw strong momentum in streaming, momentum we will build on. Examples of our progress include key operating wins. Among them, the continued strength of our domestic media networks, which held the highest share of TV viewing in all key audience demos. This leadership starts with broadcast. CBS will finish the season as America’s most watched network for the 12th straight year. CBS was number one in all key day parts in the quarter, with five of the six top comedies, the top two dramas, the number one news program and the number one late night show, plus five of the top six freshman series. In sports, the 2019 season of the NFL on CBS delivered a largest audience in three years. We also maintained our leadership as the number one rated cable portfolio in total day, owning nearly half of the top 30 original series in the key 18 to 34 demographic and nine of the top 10 kids series, thanks to Nickelodeon. Of note, Comedy Central marked its 12th straight quarter of year-over-year share growth, driven by the number one late-night talk show with Millennials. And Showtime scored the top two scripted shows on premium cable, including the number one comedy and the number one drama. Internationally, we continue to build on a global footprint that includes 192 million broadcast homes, the largest in the world. Our broadcast cornerstones Network 10 in Australia and Telefe in Argentina have each produced strong year-over-year share gains. This was also our strongest streaming quarter ever, a milestone that was on track even before the COVID-19 crisis, putting us well on our way to meet the subscriber and user targets we laid out last quarter. Pluto TV continues to lead the US in free streaming TV as the platform delivered its best quarter ever. Pluto domestic monthly active users grew 55% year-over-year to more than 24 million as of quarter end, with even stronger gains in total consumption. On top of that, our domestic pay streaming offerings grew robustly, with subscribers totaling 13.5 million at the end of the quarter, an increase of 50% year-over-year driven by original hit programming from CBS All Access and Showtime OTT. Both services broke their own records for sign-ups, streams and time watched in the quarter. Overall, this growth in both pay and free drove a strong increase in domestic streaming and digital revenue in the quarter, which was up more than 50% versus the year ago. And the appeal of our streaming and digital offerings has been made even more clear over the last six weeks, where we’ve seen a strong acceleration in momentum across both free and pay as audiences follow stay-at-home guidelines. We also demonstrated the strength of the ViacomCBS portfolio by striking new agreements with our partners in the quarter and in the weeks since. For example, CBS reached a deal with the NFL to broadcast one additional wildcard game in 2021 as part of the NFL’s playoff expansion with a live stream on CBS All Access and a separately produced telecast on Nickelodeon tailored for younger audience. This is a perfect example of how our how our partners are using our combined asset base to grow the footprint and reach a diverse audience. We’ve also made important strides in domestic distribution, where we struck significant carriage agreements. Earlier this year, we announced that Comcast would become the first MBBD to launch CBS All Access. I’m pleased to share that we actually began rolling out on their Xfinity platform today. And in March, we reached multiyear CBS renewals with two of our largest affiliates, Nextstar and Meredith. In April, we closed our first true combined company affiliate deal with Verizon. This, despite the fact that Viacom and CBS deals were not coterminous going deals. This agreement marks a truly comprehensive multi-platform partnership spanning pay TV, connected TV and mobile, and it will drive a tremendous expansion of Pluto’s distribution footprint. And today, we’re announcing a new deal with YouTube TV. This deal not only renewed CBS and Showtime early, but will shortly bring Viacom’s Cable Networks to the high-growth YouTube TV platform. To state the obvious, this fills in a key white space for our Cable Networks distribution and is Cable Networks distribution and is a clear proof point for the ViacomCBS combination. Meanwhile, in film, Paramount scored a bonafide hit with Sonic the Hedgehog, which means we have a new franchise to build on. Worldwide, the film earned more than $300 million at the box office and was made available for digital on demand March 31, setting Paramount’s record for first-day digital sales and became the studio’s all-time record holder in less than three weeks. The title has title has now sold nearly 2 million EFT units worldwide and it’s also exceeding expectations on VOD. These operational highlights and more drove key financial wins in the quarter. Chris will cover our results in detail in a moment, but I do want to highlight a few items. On the revenue side, excluding the impact of the Super Bowl and the cancellation of the NCAA Tournament, advertising grew 2% year-over-year. Affiliate revenue also increased year-over-year. And we improved the rate of change in domestic Cable Networks affiliate revenue by 270 basis points sequentially. In addition, ViacomCBS delivered sequential improvement across all key earnings and cash flow-related metrics, including operating income, adjusted OIBDA, reported and adjusted diluted earnings per share and adjusted free cash flow, which is back to a material positive of almost $0.5 billion, again indicating the progress we made in our first full quarter and demonstrating our commitment to strengthening our financial position and creating shareholder value. Just as the quarter was ending, we were, of course, faced with the COVID-19 crisis. I want to spend a few minutes sharing with you how we are proactively managing through this. As COVID spread to the U.S., we quickly moved to ensure we have the financial flexibility and balance sheet strength to weather a sustained crisis. To that end, we issued $2.5 billion of bonds in April. Add in our strong cash flow in the quarter and our undrawn committed $3.5 billion revolver, and it means we are in excellent shape from a liquidity perspective. We have also taken a series of significant cost-reduction measures to mitigate COVID-related revenue impacts for the year. At the same time, we ramped up our focus on business continuity, including significantly adjusting operations around the three most affected areas: production, ad sales and film. Like most media companies, we have seen an almost total shutdown in production, but we are managing through employing alternate virtual models in some cases and leveraging current and library products from across the company and others. Because of this, we continue to have captivating content on air, and there will be substantial near-term cash flow savings. As we look to the balance of the year on the production side, we expect little impact to our on-air product, particularly given the stability of our schedules assuming we can get back in production, albeit with modifications by mid-summer. In ad sales, we’ve seen advertisers in significantly affected categories temporarily pull back spend. But we are working closely with our clients to mitigate the impact. At this point, we know there will be a significant impact on ad sales in Q2. But based on what we’re seeing today, we will - we believe there will be an improvement in advertising in the third and fourth quarters, assuming businesses begin to reopen at scale. In terms of the upfront, we expect it to be later and longer than normal, but we’re ready whenever our clients are, and deals will get done. In fact, we invited more than 5,000 agency and marketing executives to our virtual presentation on May 18 and 19. Regarding film, we have shifted our slate later into ‘20 and ‘21 to preserve its value. We also sold The Lovebirds to Netflix, where we saw an attractive monetization opportunity in the early COVID environment. And while our film business will, of course, be dependent on theaters reopening in major markets, from a cash perspective, the delay in revenues is substantially offset by the COVID-driven production shutdown. Finally, I want to highlight the support we are providing for our employees, audiences and communities amidst this pandemic. A key priority is the health and well-being of our employees and their families. In March, we moved the vast majority of our employee base to work from home, something that has worked incredibly well with very limited exceptions for critical operations and facility staff, who continue to work on-site under strict safety protocols. We’ve also committed $100 million for relief for non-staff employees and freelancers, whose livelihoods have been especially affected by the pause in our production. And I’m proud of how ViacomCBS has come together to deploy our platforms for COVID-19, consumer education and relief from our enormously successful PFA convenience like #AloneTogether to the specials we’ve aired to help raise money for the cause. All of this to say, I’m enormously grateful to all our employees for their initiative, creativity and courage at this time and adapting and thriving under the toughest of circumstances to ensure we can continue to entertain and inform audiences everywhere. It goes without saying that we are all looking forward to getting on the other side of this crisis. But through it all, we are focused on creating value by executing our strategy and looking to continued cost and revenue opportunities that will create both immediate and lasting benefit. This starts with what we see as an even larger cost opportunity for the company. In addition to one-time COVID-related cost reductions I mentioned earlier, we remain on track with earlier, we remain on track with our committed annualized run rate synergy targets of $750 million over the next three years. In fact, we now see a greater opportunity to create sustained financial benefit on top of the $750 million, informed by how we’ve had to rethink our operations over the past six weeks. We have proven we can do more with less and can operate without being physically co-located. As a result, we are now exploring opportunities to further consolidate facilities, migrate more activities to lower cost locations and increase sharing of capabilities, all to further leverage our scale. Beyond cost, we are unlocking revenue opportunities across the combining company. In distribution, we’ve only scratched the surface of what ViacomCBS can do on an integrated basis to unlock additional opportunities with both traditional and new distributors. On the advertising front, the combination of our number one linear position and our high-growth advanced ad solutions, all delivered through an efficient single point of customer contact, means we are extremely well positioned for the rebound associated with the return to business. Importantly, we overwhelmingly serve national advertisers, a segment that should rebound first. In sports, we will benefit from the enormous pent-up viewer demand, starting with the return of golf as a PGA Tour plans to resume its schedule in June. And at Paramount, we will be ready with a set of amazing films, including A Quiet Place Part II, Spongebob: Sponge on the Run and Top Gun: Maverick that will be big hits once they’re released. Finally, there is no question the crisis has proven the power of streaming, and we are moving quickly to seize this significant revenue opportunity. We know fundamental consumer needs around quality, convenience and cost are driving changes in how they consume content, and we’re focused on addressing all three needs. Building off our momentum in user, subscriber and consumption growth across our platforms, we will capitalize on our positions across free and pay, adding substantial content adding substantial content assets and user experience enhancements supported by marketing to serve consumers with a robust, differentiated suite of link streaming offering. We will continue to build on Pluto TV’s number one position in free streaming. Pluto TV is a great platform for consumers who want a free high-quality TV experience, whether on a smart TV or a mobile device. In March, we rolled out Pluto’s most significant product upgrade ever, delivering new features and design changes that further enhance the platform’s ease of use. And with the continued addition of new content partners, it offers consumers a superior experience relative to the other free services in are entering the marketplace. And we are expanding Pluto’s reach, both in US and internationally, including through important deals with not only Verizon but also with Xbox and Roku. Pluto now has a growing presence in the UK, Germany, Austria and Switzerland, as well as in Latin America, where Pluto’s April launch brought over 12,000 hours of content to 17 countries. And over the next the next 12 months, we expect to roll out Pluto in Brazil, Spain, France and Italy. The Pluto TV platform is powerful, and the world is quickly embracing it. But you shouldn’t just think of it as a stand-alone service. It is also a key to our integrated streaming strategy, where it will serve as an important complement to and funnel for our pay services. In June, we will introduce click-through ad units on Pluto, embedded in relevant content to allow users to subscribe to CBS All Access. As time goes on, this integration will continue to evolve as we create an owned and operated streaming ecosystem with a massive free point of entry combined with upsell pay option. And speaking of pay, we are accelerating our plans for an expanded, building off our CBS All Access platform with major changes coming this summer as we track towards the re-brand and re-launch of a transformed product. We believe audiences want their entertainment on demand and their news, sports and events live. And through our expanded offering, we will be the service that gives them what they want, how they want it, all in one all in one place and at a great value. This will be a compelling foundational service for some consumers and a differentiated complement to what some other consumers already have. On the entertainment side, we start with what All Access has today: CBS network programming, a very deep CBS on-demand library and an expanding slate of originals, add to that content from Nickelodeon, Comedy Central, Missoni, MTV, BET and Paramount. This starts with over 100 Paramount films launched this week on the platform as well as thousands of additional hours across TV and film arriving in current and coming months. And we will build on this incredible base of content, a catalog multiple times larger than many of the new SVOD entrants by expanding our original slate across the portfolio. This will bring first window content from each of our brands to this platform. Our biggest franchises will be key to this strategy as well our broad programming strength across genres, from animation to SYFY, Comedy, reality, kids, crime procedurals and more, add to that, national and local news from over 200 CBS affiliates, available both live and on-demand and a critical mass of live sports, including CBS network delivered NFL NTAA TGA and more plus exclusive streaming rights to major properties women softer [ph] and UA Plus. And we’re doing all of this in a targeted, capital-efficient way. First, we are working from an already developed tech platform in CBS All Access. We are not building from scratch. Second, almost every dollar we invest in linear content across the company will benefit the service with varying windows. Third, our original strategy is designed to leverage our massive library of IP, fueling growth through a consistent and growing cadence of tent-pole series. Our experience makes clear that we can acquire new customers in a disciplined and economically efficient way while reducing churn and driving customer retention with a deep volume of entertainment, news and sports. Fourth, our distribution strategy benefits from existing, growing relationships. Across our pay and free products, we already have distribution deals with the likes of Comcast, AT&T and Verizon, as well as with Amazon, Roku and other tech players. And we are in ongoing discussions with a broad range of partners to expand our streaming footprint in the coming months. And fifth and finally, we will leverage our ability to cross-promote at scale, where we will benefit from our number one TV share in every demo, as well as our strong digital reach enabling ViacomCBS to promote to and draw customers into our offering in an impactful and cost effective way. And going back to where I started, the promotional platform includes Pluto TV, a fast growth, broad reach gateway to the ViacomCBS streaming world. In addition to our domestic strategy, I should add that internationally, we will launch a broad pay streaming product in multiple markets over the next 12 months. This service will harness the full power of the of the ViacomCBS portfolio, creating a meaningful brand presence in streaming video in key markets around the world. So in sum, we are full speed ahead on streaming, seeing strong demand for our services today, with a strategy to achieve accelerated growth domestically and internationally in the months and years to come. For all those reasons and more, we’re extremely excited about the future of ViacomCBS. We are unlocking the very substantial value of this extraordinary company, and the best is yet to come. With that, I’ll turn it over to Chris.
Christina Spade: Thank you, Bob. And good morning, everyone. I would first like to say that our hearts go out to everyone who has been impacted by this pandemic. I want to acknowledge and thank the employees at ViacomCBS for their extreme care for well-being and resilience in this unprecedented time. I am proud to be a part of the tremendous team work currently taking place across our company, our industry and our communities. Specific to ViacomCBS, we are faced with a much different financial environment for this earnings call than just a quarter ago when we closed year end 2019. We did realize solid results in Q1 2020, our first full quarter as a united company. Then at the end of the quarter, we pivoted to manage the risk from COVID-19, while continuing to focus on unlocking the value of ViacomCBS. Today, I will first take you through the actions taken to strengthen our liquidity and financial flexibility. Then I will walk you through our first quarter 2020 results, which demonstrate early evidence of the power of ViacomCBS. And finally, I will provide you with some insights into what we are seeing today coming from COVID-19 effects and the actions we are taking to mitigate them. We are proactively managing through this crisis with the security of increased liquidity, while aggressively controlling our costs and preserving cash. At the same time, we are accelerating the momentum we are seeing in our streaming businesses to position ViacomCBS well for the future. Let’s start with ViacomCBS’ liquidity and balance sheet. Early on, we prioritized taking the necessary steps to ensure we have sufficient liquidity and financial flexibility to manage through this crisis. On April 1, we accessed the credit market and issued $2.5 billion of debt. Using the proceeds from this bond issuance on May 4, we redeemed all of our $300 million of notes that were due in due in February 2021. And on May 18, we will redeem all of our $500 million of notes that our $500 million of notes that in March 2021. The remaining $1.7 billion in proceeds from the bond issuance bolsters our liquidity in order to impact of help us weather the impact of COVID-19 on our businesses. We also continue to have access to a $3.5 billion revolver, which remains undrawn and provides us with even more financial flexibility. As of March 31, 2020, when you take into account the $750 million of full run rate merger-related cost synergies, our debt-to-adjusted OIBDA ratio calculates to 3.1 times. We remain committed to maintaining our investment-grade rating and reaching our target leverage of 2.75 times, including the benefit of full run rate synergies. We plan to use excess cash flow, after dividend payments, to delever the balance sheet until we reach that leverage ratio. We will not repurchase any of our shares until we complete our planned non-core asset sale. Let me update you on our two non-core asset sales. Our previously announced sale of Black Rock is temporarily hold until we can allow potential buyers to continue to tour the building. We are also in the process of preparing for a sale of Simon & Schuster so that the asset is ready for divestiture when the market stabilizes. We are encouraged by the significant interest we have seen for both of these assets and look forward to proceeding as market conditions allow. Now, turning to our financial performance. We achieved solid results for our first full quarter as a united company. Total company revenue was $6.67 billion, adjusted OIBDA was $1.26 billion, and adjusted OIBDA was $1.26 billion and adjusted diluted earnings per share, was a $1.13. The comparison to last year for all three metrics was affected by the broadcast of the Super Bowl the NCAA men’s basketball tournament in Q1 2019. Adjusted free cash flow of $478 million, which excludes $173 million of restructuring and merger-related payments, was a material improvement from Q4 2019 and a strong start to the year. Looking more closely at our revenue performance in the quarter, total company advertising was down 19% versus a year ago. However, advertising was up 2% after adjusting for a 21 point headwind, resulting from comparisons to the Super Bowl and the COVID-related cancellation of the NCAA Tournament, which were in the year-ago period. Advertising growth was also impacted by a 100 basis point headwind from FX. The ad market was robust throughout the majority of the first quarter, with strength in prime time, news, political and cable, as well as the benefit of historically high scatter pricing. We also saw continued strength in digital advertising across our ad-based streaming platforms. Affiliate revenue increased 1%, benefiting from strong retrans, reverse comp and subscription streaming revenue, which more than offset declines in cable network affiliate revenue and a 100 basis point headwind from FX. Importantly, the year-over-year change in Cable Network affiliate revenue in Q1 improved sequentially from Q4, with the domestic Cable Network affiliate rate of decline improving 270 basis points. Domestic streaming and digital video revenue, which includes subscription revenue and digital video and digital video advertising, was up an impressive 51% million versus a year ago to $471 million. We reached new records in Q1 in sign-ups and streams on CBS All Access and Showtime OTT and in monthly active user growth in minutes viewed on Pluto. Turning to content licensing, revenue grew 9% driven by growth in original studio production for third party. Paramount Television Studios, CBS Television Studios and Cable Network Studios all benefited from strong deliveries during the quarter. Theatrical revenue was down 3% as strong results from Sonic the Hedgehog were more than offset by prior quarter revenues, which included carryover performance from Bumblebee. Theatrical revenue would have been higher had we released The Quiet Place Part II as scheduled on March 18. For publishing, revenue increased 4% and reflecting growth from digital book and audio sales. Key titles in the quarter included Stephen King’s If It Bleeds and The Outsider and Cassandra Clare’s Chain of Gold. On the expense front, we benefited from merger-related cost synergies in the first quarter and are on track to realize $250 million in savings for the full year of 2020 before consideration of onetime cost to achieve them. Overall, we are pleased with the strong start for ViacomCBS’ results in the first quarter of 2020. I would now like to give you some insight to the impact COVID-19 is having on our business. I will update you on what we are currently seeing in each of our revenue streams and explain the cost actions we have taken to partly offset the revenue headwinds. Based on our current assessment of the near-term impacts of COVID-19 on our businesses and assuming the US economy begins to reopen early in the second half of 2020, we anticipate the second quarter will be the most significantly affected. Starting with advertising. While we are seeing material increases in ratings and engagement across all of our platforms, linear and digital alike, the COVID-19 shutdown is currently resulting in significantly lower ad demand in Q2 of 2020. The reduction in demand in the marketplace is being driven by macro uncertainty and temporary business closures, as well as the postponement and cancellation of sporting events. Importantly, we continue to expect to benefit from political advertising later in 2020. Moving to affiliate revenue. As Bob discussed, we have had a productive quarter with several new distribution deals signed. While we expect some, we expect some acceleration in linear subscriber declines in the near term, we will benefit from our recent affiliate deals and from the materially higher sign-ups and engagement we are experiencing across all of our streaming platforms. We expect domestic streaming subscribers to reach at least 16 million and domestic monthly active on Pluto to reach at least 30 million by the end of 2020. In Q2, content licensing revenue in the cable segment will benefit from our South Park deal. However, the timing of deliveries and significant activity in the year-ago quarter in the TV entertainment segment will be a substantial offset. In regard to theatrical revenue, we had one significant film that was scheduled to be released at the end of Q1 2020, A Quiet Place Part II, which is now scheduled for September 4. Our two largest films that were scheduled to release in the second quarter have also been rescheduled. The SpongeBob movie, Sponge on the Run has been moved from May 22 to August 7, and Top Gun: Maverick has been moved from June 26 to December 23. We do not expect to release any new movies in the second quarter or until theaters reopen broadly. And we’ll adjust release dates, if necessary to maximize returns on our film content investments. In light of the impact of this crisis, we are highly focused on reducing our costs and preserving cash. The cost reductions fall into three areas. First, timing-related expense reductions from the lack of distribution or events. For example, this includes the absence of sports rights amortization for sports that have been cancelled. The elimination of the production costs associated with the current production shut down and delay in P&A for films not released. Secondly, we continue to make progress against the $750 million in annualized run rate cost synergies, we identified as a result of our merger, including $250 million, which will be realized in 2020. And third, we are taking additional cost-cutting actions and implementing initiatives to reduce discretionary expenses. We are learning from this crisis and finding ways that we can operate more efficiently. We see significant opportunities to realize sustainable financial benefits over the long-term. In summary, we believe the steps we are taking, bolstering our liquidity, strengthening our commercial partnerships and streaming scale, all while aggressively managing our cost base will enable us to weather the financial effects of this crisis, emerging better positioned to build upon our strong consumer relevance, thereby creating significant shareholder value. With that, operator, we can open the line for questions.
Operator: Thank you. At this time, we’ll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from line of Alexia Quadrani with JPMorgan. Please proceed with your question.
Alexia Quadrani: Hi. Thank you very much. I hope everybody on the call is safe and well. I wanted to just touch on advertising first, and then I have a follow-up on 2Q. First, on the advertising market. Can you provide any more color on how it trended in April? And are you seeing any signs of sort of some strengthening like maybe outsized demand for return of goal? And then on the YouTube renew, congratulations, it sounds like a great renewal there and with Viacom being added. I guess any more color you can give us in terms of when we’ll see Viacom included in any incremental color on where you see incremental revenue from the Viacom network being added to that contract?
Robert Bakish: Yeah. Thanks, Alexia. We’re all fine, trust you are as well. In terms of advertising, as I said in my remarks, we are seeing a significant impact in Q2, and but we do see Q3 and Q4 improving, assuming businesses reopen, and we’re well positioned to capitalize on that and gain share. Now with respect to Q2 specifically, on a relative basis, broadcast is strongest, then cable, then digital, local is weakest. Interestingly, though, the weakness is dominated by five categories, and they’re categories you would expect: auto, restaurants, retail, travel, movies. So they’re all significantly impacted by COVID. Now as we’ve seen some decline in demand, we also have been using some of that inventory to benefit our own products, including promoting SVOD, digital books and cross-boarding our schedules. So that inventory hasn’t gone to waste. We’ve also, in some cases, reduced load to improve the viewing environment and to maintain strong pricing. On positive note, one of our largest clients came to market in Q2 with scatter dollars, and we know we got the largest share. So that’s a good reflection on the power of on the portfolio. It’s also worth noting that we’ve seen in May and June scatter improve relative to April. So that’s a good sign. And we do see categories continuing to be active in the market, pharmaceuticals, CBG, financial services, tech. And as we look to Q3, in particular, we’ll also see live sports beginning to return. For us, the PGA starts on June 11 in Texas. We’re seeing very strong demand for that and golf. And as you know, the NFL is releasing their schedule later today. So that’s all a positive. Again, we’re very well positioned against this backdrop, given our number one position on linear television as well as our AMS portfolio. And the fact that through the integration we’ve done, we can now deliver all that to our customers on a single point of contact, which is important to the extent that some of our counterparties have either furloughed or reduced staffing. So we feel good. So advertising’s tough, but we do see some green shoots and feel good about our ability to maximize that as they grow. With respect to YouTube, yes, thank you. We are very happy about that deal. But the quarter was not just about YouTube. We’ve had very strong activity in terms of renewals, in the quarter and subsequent to the quarter’s end. Comcast, Verizon, YouTube, all examples of the power of the combination, something we’re quickly beginning to unlock. Big picture, we’re seeing very strong consumption that underscores consumer demand for our products across platforms. On linear, remember, number one in TV share, number one in all key demos, that is - and in this COVID time, in particular, very strong consumption, benefiting brands like CBS, Nickelodeon, Nick Jr., BET, Comedy Central, obviously underscores the value of our product and also great momentum on streaming. We talked about that in my prepared remarks, real positive trends in sign-ups and actually conversions on All Access and Showtime OTT. So the portfolio is very strong. In terms of the deals Comcast, first MVPD to add deals, Comcast, first MVPD to add All Access, we’re actually launching that today on Xfinity. Verizon, our first true cross-company, cross-portfolio MVPD deal, very happy with the economics and that Pluto component is very significant in terms of significant in terms of Verizon wireless distribution. And now YouTube, multiyear deal, includes an extension for CBS and Showtime and the addition of Viacom Media Networks very soon, 14 networks. That fills a key VMVPD white space for our company. That’s obviously important. But it’s also a win for them because it brings our number one TV portfolio to their platform. And as they look at the next leg of their sub growth, that will benefit them, so very happy with all that.
Anthony DiClemente: Thanks a lot. Operator, let’s take our next question please.
Operator: Thank you. Our next question comes from the line of Michael Morris with Guggenheim Partners. Please proceed with your question.
Michael Morris: Thank you. Good morning guys. Two questions. First, on the content side. On the completion of the merger, you guys spoke about $13 billion is an approximate level of cash content spend. I’m wondering if you have any updated thought on that level of spend. And any updates on how you’re thinking of sort of the evolution of how you allocate that given the breadth of distribution of distribution options that you have, any place you’re putting more to work or maybe pulling back any? And then second, I’m curious about the advertising pacing at Pluto TV in particular. You guys disclosed each of your digital metrics were up 50% plus in the quarter, if I sort of parse that a little bit. Can you talk about how Pluto is pacing on a relative basis and whether you’ve seen any - whether it’s held up better or maybe been a little softer in the sort of COVID-driven disruption? Thanks.
Robert Bakish: Yeah. Sure, Michael. So on content, the company has a very substantial content asset. That includes current production through Paramount, CBS, Viacom Media Networks, as well as a huge library. And the $13 billion cash content spend that we’ve referred to in the past is a very material number. Relative to that number, we expect COVID to result in some reduction in overall content expenses in 2020. Now that’s driven by the cancellation of certain events, say, the NCAAs, as an example, the reduction in number of episodes of certain seasons series, so CBS prime. A lot of those series only delivered 18 episodes versus the planned 22 because we have to have to shut down production early. And we did move some films out of 2020. So all those things will reduce the 13, but that’s really a 2020 issue. It’s not a planned change in run rate. Now in terms of that aggregate spend, we continue to spend, we continue to prioritize investments in our owned and operated platforms. And that includes streaming with a growth emphasis on streaming as we shift mix from lower- to higher growth sectors. With respect to streaming, our biggest franchises will be key to that strategy as well as well as our broad programming strength really across genres, genres being kids, animations, crime procedurals, et cetera. And so we will be prioritizing those programming areas for our owned and operated platforms. That said, we will continue to selectively license to third parties. It’s a big market. Playing in that market has multiple benefits, not just revenue, but also expanding the reach of IP to new fans that benefits the franchise and related businesses like consumer products, like setting up for theatricals, et cetera. We’re doing that in a very strategic way. So we’re not going to license critical mass of any of our key programming areas, kids, procedurals, et cetera, to any single player. Likewise, again, we’re prioritizing franchise IP to our owned platforms. And regardless of what we do in the licensing space, remember, ultimately, these deals are rentals. The IP does revert back. So that’s how we’re thinking about it, Mike. In terms of Pluto, I referenced that digital was weaker, but digital is an aggregation of a lot of a lot of different things. We continue to see fantastic advertiser reception for the Pluto product. It really is the closest thing to linear television on the planet. And if you’ve seen Pluto in the last month with our Venetia upgrade, the product is fantastic. The presentation is improved. And by the way, the ad guts behind it are also upgraded. So we continue to see strong demand, certainly strong demand in the first quarter. We’re doing fine in the second quarter, again, against a general softer backdrop, which everybody is seeing. But we continue to love the asset and advertisers do, too.
Anthony DiClemente: Thanks a lot, Mike. Operator, let’s take our next question please.
Operator: Thank you. Our next question comes from the line of Ben Swinburne with Morgan Stanley. Please proceed with your question.
Ben Swinburne: Thanks. Good morning. Two questions. You guys talked about your plans with the balance sheet and asset sales. I’m just wondering, as we try to think about free cash flow generation this year, anything else you can tell us beyond your answer to Mike’s question on cash spend and how to think about the puts and takes for free cash flow further, I know it’s hard to give guidance given visibility. And are you thinking about additional asset sales and monetization opportunities even beyond the BlackRock building and Simon & Schuster? And then I had a follow-up on Paramount.
Christina Spade: Sure. Thanks, Ben. I appreciate the questions. So relative to our balance sheet, the way we think about our cash flow with the non-core asset sales, as I said in my comments, BlackRock, we will resume the tours and the sale process when the building reopens. And we do anticipate that, that sale will complete in 2020. For Simon & Schuster, we’re currently preparing to make available for sale when the market conditions allow. So as we look at our capital allocation plan relative to thinking about how we use our cash, it’s organic free cash flow generation, which we will benefit from the near-term production shutdown. It will be a benefit near term to free cash flow. But then also with the proceeds we get from the asset sales, we will look to pay down our debt to achieve 2.75 times leverage ratio.
Robert Bakish: And then just to follow-up with the second part of your question, Ben, in terms of the strategic your question, when I look at it, there are really three interrelated elements of our business. And those are studios, networks and streaming. And that gives us a very clear lens to look through to consider where the assets fit or not. Based on that, again, it’s clear that BlackRock, which is an iconic office building in New York, but doesn’t fit any of those three categories, and Simon & Schuster, which is a preeminent publisher and an extraordinary company, again doesn’t fit in any of those segments. So those are non-core, even though they are super high quality assets, and again we’ve had lots of interest in them. But when you look at that framework through the rest of the assets we own, the company really has a pretty compelling combination. So COVID hasn’t changed our view on strategic asset composition in anything; if anything, it’s reinforced it. We believe the combination of studios, networks and streaming makes enormous synergistic sense together.
Anthony DiClemente: Thanks, Ben. Operator, let’s take our next question, please.
Operator: Thank you. Our next question comes from the line of Rich Greenfield with LightShed Partners. Please proceed with your question.
Anthony DiClemente: Rich, you might be on mute.
Robert Bakish: Rich?
Anthony DiClemente: Operator, let’s go to the next question, and we can bring Rich back.
Operator: Thank you. Our next question comes from the line of Jessica Reif Ehrlich with Bank of America. Please proceed with your question.
Jessica Reif Ehrlich: Thank you. What is – Bob, I hear your confidence in your ability to outperform, but given the increasingly challenging pay TV environment, you are growing share in linear. But as we all know, the universe is shrinking at kind of an alarming rate. What gives you that confidence to outperform? And as you pivot to streaming, can you talk a little more – give us some color on what you think the investment will be over the next year or two? What is the profitability on that $471 million in revenue? And how are you thinking about long-term margins? It’s now one of your core three areas. So did that – just any color you can give us on where you see that profitability going? And then one last thing on advertising. Q3 cancellations were due. What are you seeing there? And where are you seeing most demand? Is it sports, entertainment or news? Thank you.
Robert Bakish: Yeah, Jessica. Sure. So in terms of affiliate, I think probably the best way to think about it is, if you look at pay subs, we saw stable trends in Q1 relative to Q4. That said, given what we’re hearing and people are talking about in Q2, we do expect some modest incremental cord cutting. But importantly, our deal with YouTube will more than offset that when it kicks in this summer. So that’s, to your question of outperformance. Also, on the domestic cable affiliate revenue side, as you know, we got a nice improvement in rate of change between Q4 and Q1. Q2 might move back a bit given what I just mentioned on sub trends. Again, we don’t know what that actually is, but there’s possibility. But given the deals we have locked in as of today, we see further improvement in second half of the year on the domestic cable affiliate revenue trend line. So that’s to your question on outperformance. Look, on streaming profitability, again, we’re not giving guidance, certainly not into 2020 COVID environment. I can tell you that we are – it really – it’s all about the mix of content expenditures across the company and continuing to remix from investment towards higher growth areas that includes streaming. In the short term, there’s a lot of incremental content that we’re bringing to the platform that is existing content. And over time, there’ll be growing original content on the streaming side. But again, that’s largely a mix. And again, as we look at a business plan for streaming, both in free and pay and more importantly, on this integrated linked ecosystem, we’re very excited about what we see tracking out over the coming years. Finally, on Q3 ad sales, again, based on everything we see today, we believe Q3 ad sales will be better than Q2. And, again, right now, May and June scatter May and June scatter looked better than April. So that’s a good sign. We do see categories active in the market, again, pharma, CPG, financial services, tech. We do see for sure demand for sports, starting with this June 11 PGA event and these PGA events are sort of staggered in kind of more open states, if you will, in locations. So we feel good about that. We have a very specific production plan for those, which we believe mitigates risk. And we’re definitely seeing strong demand for that. And again, it speaks to the power of the portfolio, the fact that we can serve advertisers through our number one linear position across really all genres, add in Pluto and other high quality digital assets. And importantly, deliver it through a single point of customer contact. I think that will be even more important as we negotiate, say, this virtual upfront. So that’s what I’m seeing.
Anthony DiClemente: Okay. Thanks, Jessica. Operator, we’ll take our next question, please.
Operator: Thank you. Our next question comes from the line of Rich Greenfield with LightShed Partners. Please proceed with your question.
Rich Greenfield: If I could just figure out how to use my headset, all would be good. But just a couple of quick questions. Remote work is interesting. Viacom DISH is up this month, I think there is a lot of investors on this call are proudly thought that Charlie Ergen is going to give you a very hard time in that renewal. I’m wondering with literally no sports on TV, there is a leverage with distributors sort of shift a little bit. At least until sports come back, it would seem like Viacom is a pretty large portion of overall content on the air right now. Then on the movie business, you’re talking about putting up movies later this year. Some of your peers have moved films into literally a year, if not more. Do you really plan to put out movies if they can’t generate hundreds of millions of dollars of box office? Like how are you going to make the decision of whether to really put things out in August, September versus delay until August or September of 2021? And just because everyone is literally asking me to ask, Bob, could you just be very specific? Fox said ad sales are down 50%; AMC, down 30%. Could you just give us actual specificity on the numbers of ad decline in Q2? Thanks.
Robert Bakish: Sure, Rich. And yes, I thought you were kind of on mute before, and I agree, work from home is an interesting concept. But with that caveat, so we are seeing incredible consumption of ViacomCBS content in the current environment. And that’s both our broadcast linear CBS, that is our cable assets, including like Nick Jr. and Nickelodeon, BET, Comedy Central, Trevor’s Killing It, et cetera. So yes, we’re very pleased with what we’re seeing. And by the way, as I said, our streaming services, which we also increasingly call it package into our relationship with our distributors are performing very well. So does that tilt in our favor at the moment? Yes, probably. We, by the way, also look forward to bringing live sports back, and we’re going to be one of the first with golf, the nature of golf probably makes that a little bit simpler than some of the other sports. By the way, we set up a sound stage in Radford, the CBS lot to film both boxing and Bellator events, which we’re going to use that soundstage to sequentially alternately produce those, albeit with no audience for the moment. So we’re going to do some sports stuff around the edges. But yeah, look, I like our position. I think the portfolio is very powerful. You see that starting to come to life with the deals I’ve already talked about, and I feel about our trajectory going forward. With respect to movies, yes, we moved them later. We thought that was the right thing to do to preserve asset value. We obviously look at the market and look at what it will be at a point in time, and we’ll make a decision if there’s sufficient critical mass of screens if you will, theaters to warrant opening a film. Our first film on the schedule is Spongebob at the beginning of August - I think its August 7. So it’s too far out to call if that’s definitely going to be released or it’s definitely not going to be released. We hope it will release, but we will continue to look at and make the right decision in terms of the return on those assets because we got great films. I mean, whether it’s Quiet Place Part II, which we premiered in New York two weeks before the crisis, and we pulled at the last minute. Thank God we did because the film is incredible. And we didn’t waste it. We saved it. Likewise, Top Gun: Maverick is off the chart. So - but we’re going to open them when it makes sense to open them, Rich. Lastly, on ad sales, look we’re not going to - I’m not going to give you a domestic number. I can tell you it’s not as bad as what Fox is saying, that’s for sure, but it’s not pretty either. But as far as a specific number, no, I’m not going to do that.
Rich Greenfield: And then just a follow-up on the film point. You said that yield the base decision on whether theaters are open, how does actual consumer behavior play into it? I mean, theaters could be open, but if people don’t want to go to movie theaters, are you going to still open movies?
Robert Bakish: Rich, we are going assess it based on economic considerations. So we’re going to take all that into account. Again, we - the cash flow nature of the studio business on new release versus production means that we can be patient and wait. So we’re not going to relight these negatives on fire. We’re going to wait until we can really maximize them because they’re great products.
Rich Greenfield: Thanks. That’s what I was hoping you were going to say.
Robert Bakish: Thanks, Rich.
Anthony DiClemente: Next question, please.
Operator: Thank you. Our next question comes from the line of John Janedies with Wolfe Research. Please proceed with your question.
John Janedies: Good morning. Bob, a couple for me. First, can you give us an update on what you’re seeing across key geographies on the international cable network business? And then separately, given the delayed schedule for scripted sports, how are you thinking about a time line for both the return to production and bringing content to air? What do you think the fall season looks like for CBS? And are there any creative solutions to maintain as much of your core audience as possible, assuming originals don’t hit the schedule until the winter?
Robert Bakish: Yeah. Sure, John. So international, I’d say, overall the dynamics are similar to the U.S. And what I mean by that is escalated content consumption, both linear and streamed, soft ad market and us focusing on cost management. In terms of advertising, Q1 was really a story of U.K. market under pressure. Spain also, Australia was actually up. Q2 is pretty soft across the board. And I would say that international is softer than domestic. And probably a way to think about it is we talked about this 2% growth number in Q1. The domestic number is better than that. The international number was a headwind for it. Importantly, in international, we are - we now have two offices open, Beijing and Hong Kong. So things are moving forward. And that is both a light at the end of the tunnel, but also a great way for us to get experience with facility reopening, which we have a big kind of working group on that. So we’re prepped for it. And then on the international side, importantly, we continue to see new opportunities coming out of the merger when we think big picture. It might take us a little longer to realize them, but they’re definitely there, things like bringing operating expertise from Channel 5 and Telefe to Network 10, things like bringing CBS’ massive television library and production to Viacom International Media Networks distribution across MVPDS, OTT, mobile partners. And as we move forward on streaming again, we see a real international opportunity, which leverages the combined company asset base, and it’s more than seeing it. We have plans to go after it, as I said, in multiple markets over the next 12 months. With respect to production, we have a multifaceted plan in place for restarting production, which we believe will leave us well positioned with fresh product in the fall in both TV and film. And we also have a range of contingencies we can deploy. To your question on CBS, CBS has a very strong and stable schedule. We announced a renewal of over 80% of that slate yesterday. That’s got a bunch of benefits, including the fact that in this virtual upfront time whenever it moves, advertisers will know what they’re buying from us, and some of the other networks are not in that place. In terms of our return to production, a couple of things I’d highlight. One is because there was a possibility of a writer strike, we ensured we had a backlog of shows ready to go. So that’s an asset we can draw on. In addition, if you start segmenting different kinds of production, sound stage-based productions, things like sitcoms, that’s a more controllable environment. So we feel good about that. Dramas, again, if you look at it, there will likely be limitations. We can probably front-load production the other components that are on sound stages and leave location to later. That’s how we’re thinking about it, if need be. On the unscripted side, we can also modify production to include more controllable environments. In terms of sports, we believe live sports return. I talked about golf and the NFL probably in a modified form, but we believe they’ll be there. And so we’re optimistic that our fall schedule won’t be materially disrupted, again, assuming we can get back in production sometime this summer. Know that in the interim, we continue to operate in a modified model. That includes using virtual productions. You’ve seen a bunch of those on air to keep news, late night and other shows going. To the extent we see gaps in production volume, we do have broad and deep libraries, including the recent addition of Miramax, which we can deploy on our platforms. Current example of this is use of Paramount titles for a new CBS Sunday night at the movies, which started in May. That’s filling in for a shortened season of MCIS derivatives back to the 18 episodes versus 22. On the Paramount side, we’ve completed principal photography on eight films right before the crisis. Those include Snake Eyes, Clifford, Coming to America, Top, Infinite Tomorrow World and Spell. So those are all being worked on remotely in post-production. So we will be in good shape when things open up. Likewise, showtime is currently set and solid through Q3. So it’s a bit of a fluid situation, but we spent a lot of time looking at not only return to facilities, but return to production, and we’re confident that we’ll have compelling content on in the fall.
Anthony DiClemente: Thanks, John. Operator, we have time for one last question.
Operator: Thank you. Our final question this morning comes from the line of Michael Nathanson with MoffettNathanson. Please proceed with your question.
Michael Nathanson: Great. Thanks. I’ll have two of you. The first is when I think about Showtime, it’s a pretty competitive market. It’s not global, no advertising capabilities like your other businesses. I wonder is it a long-term core asset? One of the moves you made in Viacom selling right away. So how does Showtime fit into your long-term vision? And secondly, if you look at your competitors in streaming, they all pulled back some big titles Peacock, Office, Friends, HBO MAX. I wondered, when you pull back some of the big library content that sits on Netflix or in a perfect world, what have you pulled back South Park from licensing that. So just give me a sense of that philosophy? Thanks.
Robert Bakish: Yes. Sure, Michael. So on Showtime, I think two things to note. One, is it for sure, fits in the strategic paradigm that I outlined of studios, networks and streaming? In fact, it’s all three. And the second thing I’d say on Showtime is, we talked about some issues with Showtime circa 2019, but our 2020 plan is all about turning around the performance with respect to earnings and cash flow, and we feel good about our trajectory there. And it’s important to note that it has real momentum on subscribers, particularly over the top. Showtime had its best quarter ever in sign-ups and consumption in Q1. And we’ve seen acceleration in sign-ups, time watched and total streams in April. And the conversion of free-to-pay as it’s accelerated, i.e., more trials, we’re seeing the same or better conversion rates. So that’s all good, and we do have a lot of momentum on the programming side. With respect to streaming, I talked about our strategy a bit in my prepared remarks. And from a content perspective, again, we’re very excited about where we’re taking this. If you look at Pluto, it’s a massive free gateway to our streaming ecosystem. We are going to continue to build that out. That has both owned and operated and third-party content on it. The content offering in ours is definitely weighted towards third party. Our content on it is definitely library, and that’s working well. In respect to our pay product, which is more where your question would show up, we’re in the middle of transforming CBS All Access into this much more compelling product that includes news, live sports and on-demand entertainment. So your question would really apply largely to on-demand entertainment. Again, we put over 100 Paramount films there this week. You will see a major move this summer, where we’ll introduce a fundamentally new UI and add substantial content assets. As we do that, we are prioritizing franchises and importantly, critical mass of programming in genres, whether it’s animation and kids or it’s crime, et cetera, for O&O. We will continue to selectively license outside of that. So we may put a little kids somewhere on one platform, a little bit on another. But in terms of critical mass and in terms of big franchises, we’re going to increasingly lean into that for our owned and operated platforms. We think that’s a strategy that will create a very compelling, streaming product and sort of trajectory for that element - that portion of our business, as well as allow us to continue to participate in a licensing market where there continues to be a lot of demand.
Michael Nathanson: Thank you, Bob.
Robert Bakish: Look, guys, I really want to thank you for your questions and taking time with us in this strange time we’re all living in. I want to close by saying ViacomCBS is a resilient company. We are well-positioned to navigate the crisis, and we’re really just beginning to tap the potential of our combined assets. To that end, you look at Q1, you look at the time since then, remember, we only closed this deal in December, but there are already multiple proof points to the power of the ViacomCBS combination. That includes recent affiliate deals. We talked about them today. Our cross-company use of content, we talked about today and very material cost synergies, which will probably increase as we move forward, leveraging our experience in COVID. Again, the first quarter and the weeks following demonstrated that our content is in demand in all kinds of formats. We did take aggressive steps to reduce costs, improve financial flexibility and frankly, strengthen our ability to capitalize on emerging opportunities. Our growing scale, audience reach and earnings power will become more apparent as this market rebounds, and we put the full power of our portfolio behind the company, including behind our streaming strategy. So look, thanks everyone, for your continued support. Stay well, and we look forward to seeing you in person, hopefully, sometime soon.
Anthony DiClemente: Operator - thanks, everyone. That concludes our earnings call. Have a great day.
Operator: Thank you. This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.